Operator: Good afternoon and welcome to the Nanometrics’ Fourth Quarter and Full Year 2013 Financial Results Conference Call. [Operator Instructions] A Q-&-A session will be held at the end of the call, until that time all participants will be in a listen only mode. Please note that this conference call being recorded today, February 4th, 2014. At this time, I would like to turn the call over to your host, Claire McAdams. Please go ahead.
Claire McAdams: Thank you and good afternoon, everyone. Welcome to the Nanometrics’ fourth quarter 2013 financial results conference call. On today’s call are Dr. Timothy Stultz, President and Chief Executive Officer; and Ronald Kisling, Chief Financial Officer. Shortly, Tim will provide a recap of the fourth quarter and our perspective looking forward. Then Ron will discuss our financial results in more detail after which we will open up the call for Q&A. The press release detailing our financial results was distributed over the wire services shortly after 1:00 PM Pacific this afternoon. The press release and supplemental financial information are also available on our website at www.nanometrics.com. Today’s conference call contains certain forward-looking statements including, but not limited to financial performance and results including revenue, operating expenses, margins, profitability and earnings per share. Although Nanometrics believes that the expectations reflected in the forward-looking statements are reasonable, actual results could differ materially from the expectations due to a variety of factors including general economic conditions, changes in levels of industry spending, the adoption and competitiveness of our products, industry adoption of new technology and manufacturing processes, customer demands, shifts and timing of orders of product shipments, changes in product mix, our ability to successfully realize operating efficiencies and the additional risk factors and cautionary statements set forth in the company’s Form 10-K on file for fiscal year 2012 as well as other periodic reports filed with the SEC from time-to-time. Nanometrics disclaims any obligation to update information contained in any forward-looking statement. I will now turn over the call to Tim Stultz. Tim?
Tim Stultz : Thank you Claire, and good afternoon everyone. We appreciate you taking the time to join us on our call today. Today my prepared remarks will address highlights of the company’s 2013 performance, with a focus on execution against our key corporate initiatives followed by our outlook going into 2014 and guidance for the March quarter. Beginning with our fourth quarter results, revenues came in at the high end of our guidance with gross margins and earnings slightly better than our expectations. Q4 was also our third consecutive quarter of revenue growth which has averaged 24% per quarter since the beginning of the year, and marking earlier than expected return to profitability, these are better than forecast gross margins and or spending in operations. As we are certainly pleased with the trajectory and continued improvement in our financial performance, it is the progress we have made against our key strategic initiatives that strengthens our long term business outlook and sets the stage for what could be a very exciting year for Nanometrics. Starting with our efforts to gain market share in the foundry sector we had success on multiple fronts, we now have a total of four foundry customers using our Atlas OCD platform, three who have adopted our UniFire for advanced targeting and a key impulse integrated metrology tool of record position for advanced process control of critical edge applications at the 20 nanometer and 60 nanometer nodes. All of the new foundry accounts won this year are pure play foundry customers. A second key initiative in 2013 was to leverage our extensive experience in the OCD metrology used in the manufacture of FinFET devices in order to expand our OCD footprint and logic. Beginning with a strong position with a leader in the FinFET technology, during the year we added two additional customers further strengthening our overall position in this critical and demanding area of device technology. In 2013 we also defended our existing strong position in OCD metrology for memory devices. As the industry began to shift from planer to 3D architectures our Atlas and IMPULSE platforms are already being deployed for high volume manufacturing production of V-NAND memory devices by one customer as well as being used by two others in 3D memory bit development program. And finally with the uptake in investments in advanced packaging we’re seeing increased demand for our UniFire, the UniFire has now been adopted by seven customers most of whom already have multiple tools, if you’re well positioned in this emerging market with industry leading tools and solutions and tool record positions at nearly every major account. The takeaway here is that our new account penetration, market share gains and strong positions within emerging markets constitute strong tail winds for our business as we enter 2014. A year which is expected to see continued investments in advanced technology, the roll out of next generation devices, and increased wafer fab equipment spending on a year over year basis. Longer term and of significant importance are products and technology roadmaps are at the very heart of the ongoing transformational activities driving the future of the semiconductor industry. Let me briefly highlight the important trends that benefit and will continue to drive our business going forward. First, as process tolerances become ever tighter and less forgiving the dependence upon process control technologies to meet, yield and manufacturing cost challenges is increasing driving the increased demand for our current and next generation products. Second, an outcome of the delays in delivering lithography has driven the need to develop and implement complex processing techniques such as multiple pattering to realize the reduced dimensions needed for leading edge devices. Multiple pattern increases the number of steps in the process flow which in turn creates incremental demand for tools in lithosequence such as scanners, etchers and [employment] process control metrology platforms. Third, foundry spending on a competitive landscape within our sector have an increasing at a rate greater than other areas of the semiconductor industry. FinFET technology is becoming ubiquitous across all the [indiscernible] logic devices. Current and next generation FinFET as well as future generation 3D transistor nano-wires will incrementally increase the demand for inline, high speed nondestructive metrologies, capable of measuring complex 3D structures. OCD is a key enabling technology for 3D. This combined with our strengthened position within the foundry market and multiple product platform placements within the industry leaders will lead to an increase in contribution to our business from this growing sector. Similarly V-NAND memory devices with roadmaps going up to 96 stack layers have a very high dependency upon precisely controlling repeated deposition and add steps. OCD based process control metrology and advance process control or APC strategies will play an integral role in helping the chip manufacturers develop and produce these 3D memory devices. Next there is an expansion in of the use of APC strategies utilizing feed forward and feedback techniques to tighten up the integrated process variations across multiple process steps and tools. Our integrated metrology platforms along with their data generation and analysis capabilities are key enablers to this trend and are already playing an important role in this growing market. And finally advanced 3D packaging, driven by performance, cost and form factor constraints is still relatively new market but is starting to takeoff. It too is creating incremental demand for specialized metrology and inspection tools such as the Unifier that meets the unique performance and cost challenges of backend of line fabrication and similar procedures. Summing it up, with the tailwinds derived from the success of our key initiatives, the industry trends favoring our tools and technologies and sustained healthy investments by the leaders in our industry 2014 is setting up to be a very good year for Nanometrics. In addition, we have an existing pipeline of innovative new products and technologies some of which we will launch this year which are aligned to our customers' roadmaps and will continue to strengthen our competitive position. But either with the wind at our backs we still have much to do many challenges going forward and more opportunities to strengthen our business and grow stakeholder value. Our operational execution must be excellent, meeting our customers’ needs while exceeding their expectations. We must constantly defend our leadership positions through new innovation and continued improvement in our products and technologies. We must continue to focus on and pursue the numerous opportunities to further increase our market share and expand our footprint within our key accounts. And we must further improve our financial performance delivering bottom line results consistent with being a leader in the industry. Now, turning to our near term financial, outlook and guidance. In our Q3 call, we discussed unusually large number of shipment of tools to new fab locations, our revenue recognition would not occur until the following quarter as they require receiving signup on the first tool of each type. As we sit here today, nearly half of our revenue forecast for Q1 is comprised of either new tool, new fab locations or a new customer and is therefore subject to first tool signup prior to revenue recognition. We bring attention to this fact as this proportion of revenue subject to signoff is highly unusual for us, importantly however, the overwhelming majority of these tools have already been shift many of themselves and even paid for. Further, all indicators and activities, internal and external are positive and on track to occur within the quarter. There is however risk that a delay in timing of customer signoff could result in the shift of a significant portion of our forecast revenue from Q1 to Q2. With that our guidance for the March quarter which assumes timely signoff for the aforementioned tools is revenues ranging between $48 million and $54 million up for to 17% over last quarter. And on a non-GAAP basis gross margin of 48% to 50%, operating expenses of $21.9 million to $22.5 million and earnings of $0.01 to $0.13 per share. Ron?
Ronald Kisling: Thank you Tim, and good afternoon. Before I begin my comments I’d like to remind you that the schedule which summaries GAAP summarizes GAAP and non-GAAP financial results discussed in this conference call as well as supplemental revenue segment information by product, end market and geographic region is available in the investor section of our website. Over the course of 2013, we saw a strong rebounded at business level with sequential quarterly revenue growth averaging 24% from the first quarter to the fourth quarter driven by growth in spending by our largest customers. Fourth quarter revenues were $46.2 million, up 18% from Q3 and up 52% over Q4 2012. Product revenues increased 25% to $37.6 million compared to $30.2 million in the prior quarter, driven primarily by growth in sales of our automated tools of our largest customer. Automated tool revenue increased 36% over the prior quarter and comprised 68% of total revenue. Integrated tool revenue decreased 32% from relatively high Q3 levels to comprise 7% of total revenues. Materials characterization tool revenues continued their improvement off of historically low levels in the second quarter to comprise 7% of total revenues in Q4, and service revenues decreased 4% on lower upgrade sales to comprise 18% of total revenues. By end market, the largest increase occurred in memory which increased 63% to comprise 48% of tool revenue. The increase in Q4 was driven by DRAM where the increase we see in Q1 will be driven by flash. In the fourth quarter, we shipped a significant number of tools to a new NAND fab in China, which we expect to recognize as revenue in the first quarter. Sales into the foundry end market increased 11% to comprise 13% of product revenues. Sales into the logic and IDM end market decreased 4% to comprise 31% of product revenue, and revenues into the LED, silicon wafer and discrete end market increased 19% to comprise 9% of total tool revenues. Customers representing 10% or more of our total revenues for the quarter were Intel at 30%, Samsung, at 25% and SK Hynix at 19%. This same revenue segmentation information for the full year is available on our website as I mentioned earlier. I will point out that for the full year 2013, Intel comprised 30%, SK Hynix 18% and Samsung 14% of total revenues. Turning to other P&L metrics, in my prepared remarks regarding the income statement referred to the non-GAAP measures unless identified the measure as GAAP based. These measures exclude the impact of amortization of acquired intangible assets, restructuring charges and write-downs of inventory of discontinued products. Our Q4 gross margin came in slightly above the high end of our guidance range at 48.9% due to better than expected warranty and manufacturing variances. Product gross margin improved to 50.6% from 48% due to the benefit of higher revenue levels against fixed manufacturing cost and aforementioned favorable warranty and manufacturing variances. Service gross margins declined to 41.7% from 49.7% due to the expected lower upgrade revenues compared with the prior quarter. As we look into Q1, our gross margin guidance range of 48% to 50% reflects a relatively flat product gross margin as changes in product mix will offset some of the benefit of increased revenue. Fourth quarter operating expenses decreased $604,000 from Q3, well below expectations due to a shift in timing of variable R&D program spending. The increase in our spending guidance going into Q1 reflects the normal seasonal increase in payroll and other expenses and the aforementioned shift in timing of R&D program spending. We expect spending to begin to come down in the second half of 2014 due to typical seasonal decline, the timing of R&D program spending and realization of savings from the consolidation of our SPARK product line activities into our UK facility, which was initiated last quarter. We saw a return to profitability in the fourth quarter with net income of $1 million or $0.04 per share compared to a net loss of $1.3 million or $0.06 in the prior quarter. At December 28th our cash and investments were $92.9 million or roughly $4 per share. Our DSO was 61 days, reflecting strong collection and less backend loading of sales during the quarter than we have seen previously. Inventory increased $2.6 million to 41.4 million at the end of the fourth quarter. We saw a large increase in deferred revenue, up $10.7 million to $25.5 million at quarter end due to the relatively large number of tool shipment subject to sign-up Our tangible book value was $187 million or roughly $8 a share and we ended the quarter with a headcount of 536 employees, a net increase of four employee from the prior quarter. And with that, I’ll turn the call over for questions. Operator?
Operator: [Operator Instructions] And our first question comes from the line of Weston Twigg with Pacific Crest Securities. Your line is open.
Weston Twigg - Pacific Crest: Hi. Thanks for taking my questions. First, just clarifying the Q1 revenue guidance, you said roughly half of the revenue in Q1 or almost half the revenue in Q1 was on deferred revenue on new tool shipments to new customers on your sites. Does that imply then the demand profile for Q1 is really only roughly half the revenue guidance or is there something else I’m missing, maybe more deferred revenue?
Tim Stultz : Wes, that’s a great question, I am not sure how to answer. So, we have had a lot of shipments of tools in Q4. We have one into the Q1 and it’s kind of a normal pattern with exception of the fact that a lot of tools require sign-up. We only wanted to highlight the uniqueness of the sign-up requirement as opposed to the normal acceptance procedure which is revenue recognition upon shipment.
Weston Twigg - Pacific Crest: Okay, all right let me try, let me ask another question then if you would, just on the OCD traction at the foundries, you said you have four foundry customers. Last quarter I think you gave us a little more color on the potential to win some business at 20 nanometer versus this entire process and you may have mentioned that at the beginning but I missed it. Could you give us an update on whether or not you are getting 20 nanometer traction or you need to wait for [indiscernible] to see that OCD business ramp up?
Tim Stultz : So, we have gotten some 20 nanometer business in the OCD area and at least one customer is trying to use similar tools both for 20 and 16 in the same fab, so we benefited from that even though we will target around 16 nanometer, they did post them and use it on the 20 as well.
Weston Twigg - Pacific Crest: Okay. So, we could expect a benefit from that earlier 20 nanometer ramp.
Tim Stultz : We are getting a little bit of that, that’s correct.
Operator: Our next question comes from the line of Tom Diffele with D.A. Davidson. Your line is open.
Tom Diffele - D.A. Davidson: Yes, thank you. So, I guess looking at this year, what do you think the linearity of just the industry is going to be, it sounds like lot of players are expecting business to be obviously pretty strong here in the first quarter, maybe dying off a bit in the middle of the year, coming back again in the fourth quarter. Just wonder if you are seeing similar trends for the industry right now?
Tim Stultz : Yes, actually we are seeing a slightly different pattern. We’ve certainly had some improvement in the strength and demand but we actually see strength in the middle of the year, growing strength coming off of Q1 into the middle of the year. We don’t see it getting softer right now in the middle as some of the others ones have reported.
Tom Diffele - D.A. Davidson: Okay. And do you see a certain pattern as far as memory early, foundry in the middle, memory late again or how do you see the mix that way?
Tim Stultz : It’s starting playing out. There is certainly -- as most folks know, there is a huge amount of investment, a lot of capacity going into memory in this first quarter then we start to see foundry picking up, in the second quarter we see some additional memory in the third quarter with foundry continuing and then a more balanced profile going into the fourth quarter.
Tom Diffele - D.A. Davidson: Okay. And then what was your back end mix during the quarter?
Tim Stultz : We don’t have. I am not sure, are you talking about whether we -- in terms of like are you asking specifically to our advanced packaging in UniFire?
Tom Diffele - D.A. Davidson: Yes, or if that’s a big enough segment yet to breakout?
Tim Stultz : It’s not -- we haven’t broken it out yet. We have to reach that 10% mark but it’s on track to me and something that we can start to talk about and we look forward to being able to break it out in the not too distant future.
Tom Diffele - D.A. Davidson: Okay. And then just finally here, I wonder if you could quantify what you think this share gains mean to NANO versus the industry in a sense that if the industry grows 10% this year, how much additional would you get from the share gains from last year?
Tim Stultz : I don’t know, I don’t have a good answer to that. I know that our projected revenue growth year-on-year is substantially higher than the projecting spending increases, part of that as we came off a rather weak year in 2013. But a lot of it has to do with the incremental contribution from the foundry area, the continued strength in the memory. We've really done a nice job of expanding our pure play foundry and the UniFire’s growth is going to be a nice incremental contributor too.
Tom Diffele - D.A. Davidson: Okay. Maybe just quickly for Ron, what do you see as the taxes for the year?
Ronald Kisling: Yes, so for 2014 we see the tax rate probably between 35% to 38% if the R&D tax credit gets extended, that would come down by about 2% to 3%.
Tom Diffele - D.A. Davidson: Okay. Then if you could make any comments at all about the margin progression beyond the first quarter?
Ronald Kisling: Yes, I think as we talked about in the last call and this call mix is an important driver in terms of the margin in Q1. I think beyond that for a year as a whole, while mix will continue to drive quarter-to-quarter fluctuation as we're starting to see significant contributions from some of our other products. But the year as a whole, we expect to see gross margins above 50%.
Operator: Our next question comes from the line of Patrick Ho with Stifel. Your line is open.
Patrick Ho - Stifel Nicolaus : Thank you very much and congratulations on a nice end to the year. Tim, in terms of 3D NAND that’s optioned in the capital intensity that’s rising in many of the process segments, do you see any bias for OCD metrology's adoption between automated versus standalone?
Tim Stultz : First of all thanks for the comment Patrick, I appreciate the sentiment. We actually are seeing incremental opportunity for OCD going from to the planer to the V-NAND, Awami ordered 20%. We are also seeing for ourselves, we've gained some market share and will have increased participation on the integrated metrology in addition to our position with the automated. So, we really like that space. We like what’s happening and I think it’s going to bode well for us going in the future.
Patrick Ho - Stifel Nicolaus : Great. You also mentioned multiple patterning in your prepared remarks and the opportunities there. As the DRAM industry migrates to 20 nanometers and the likelihood that they will have to use double patterning at least with that node and giving you strong presence there. What are some of the opportunities you see in that transition and whether you think that’s more of a 2014 or a 2015 story?
Tim Stultz : Your question, the DRAM shrinks are starting to be a 2014 story and we’ll see with the multiple patterning going down to the 24 nanometer incremental demand for our tools but it does play into 2015 assuming that the DRAM pricing remains where it is and the big companies continue to invest in those technologies. But in either case multiple patterning does translate to multiple tools for us.
Patrick Ho - Stifel Nicolaus : And maybe not to get really granular do you see kind of what the percentage increase from I guess the last, whether it was in the mid-20s or the 30 nanometer node, 220, what the incremental opportunity on a percentage basis is for you guys?
Tim Stultz : I don’t have it right in front of me but I know that we've seen like 20% incremental going I believe going from NAND to V-NAND, we've seen about 25% on a foundry and I would expect something on that order going into the DRAM that it embraces much multiple patterns as the other device types did.
Operator: Our next question comes from the line of Mahesh Sanganeria with RBC Capital. Your line is open.
Mahesh Sanganeria - RBC Capital Markets: Question on what you are seeing on the advance packaging? Is it based on your -- what you are seeing, does that become really a significant portion in next couple of years?
Tim Stultz : Yes Mahesh, actually I do believe as I said, I think we’re on track to starting to see the UniFire starting to create -- cross the threshold of the 10% contributor to our business. It’s primarily focused on advanced packaging plus we have some applications that our SPARK has gone to hold on. And so collectively I think that becomes an important part and contributor to our overall business.
Mahesh Sanganeria - RBC Capital Markets: Okay and on the answer on the discussion on the linearity, you said you are seeing something slightly different and you gave us pretty good indication how you are seeing it. Can you put that in context of that when is the 20 nanometer ending and when the 16 nanometer is starting on the foundry side and on the memory side a broader adoption of 3D NAND when do you see that? If you can talk a little bit more in terms of the technology adoption at different nodes that would be very helpful.
Tim Stultz : Okay, I will try. It’s all subject to changes above all -- the way it’s looking to us right now is I think it’s pretty obvious there is at least one customer spending an awful lot of money on 3D NAND, taking tools in Q4 and a lot of tools in Q1 and there will probably be a bit of a pause after that. Meanwhile there are other -- three other customers that are developing the 3D architectures and they’ll start kicking some tools for their development and our pilot areas. In terms of the foundry stuff we’re in the middle of the 20 nanometer, spends and ramps there is going to be probably some benefits to us as we get some of the 20 nanometer business. And then I think the 16 nanometer starts to -- will be realized towards the end of the year.
Mahesh Sanganeria - RBC Capital Markets: And one more clarification, your Samsung revenues were much smaller in 2013, I am assuming that is function of the fact that Samsung spent most of its CapEx in Q4, which you got the cash but the revenue recognition comes in Q1. Is that a good way to explain that?
Tim Stultz : Yes, I think you’ve got a really clear picture of it. Samsung spent roughly half of its total CapEx in 2013 in the fourth quarter. For them that’s a spend, for us it’s an order and shipment, we actually have collections but for revenue recognition it’s not until we get that first tool sign up. We just got a domino effect; we have a lot of tools that have been put in place. Once we have the first tool accepted all the other tools become recognized.
Operator: Our next question comes from the line of Josh Baribeau with Canaccord. Your line is open.
Josh Baribeau - Canaccord: Could you help me out with the mix of the deferred revenue between memory and foundry? You kind of talked around it little bit, curious if you could share the mix between them.
Tim Stultz : We haven’t historically broken out the mix of deferred revenue between the two, I think as Jim talked about large portion of it is going into memory specifically with what’s driving some of the growth we expect to see in memory going into Q1 revenue in terms of NAND. So the biggest piece of growth was in NAND but we don’t breakout the specifics.
Josh Baribeau - Canaccord: Maybe a same question but for the inventory at the customer side, is that a memory or is that part of a foundry?
Tim Stultz : Evaluation inventory, it is a mix across because the inventory customer size is typically evaluation was the deferred revenue or it can be deferred inventory directly tied to the deferred revenue, so it matches the deferred revenue mix.
Josh Baribeau - Canaccord: Got you. And again this has probably been asked a couple of different ways but I'll try again in a different way. In looking at your presentations previously you have shown us a slide in terms of capital intensity for different next generation processes. A lot of that I think was sort of hypothetical whereas now I think we’ve got a quarter or two maybe more in terms of actual pilot production, mass production of these 3D memory structures in pilot production of FinFET, are there any changes to what you originally anticipated obviously with the hope that it would be to the upside of the attach rate for optical metrology from what you originally anticipated before they went in production?
Tim Stultz : Actually we’re pretty pleased with the work that our team did in putting together a stable considering what information they had, it’s played out pretty well. We’ve seen some incremental benefit on the advanced process control and some integrated metrology, but I think we’ve called the standalone OCD platforms and those opportunities pretty well.
Josh Baribeau - Canaccord: Can you share how you think about the growth, let`s say in whatever time period you think about, let’s start with maybe '14 but maybe longer term can you be a little more specific, so it's not like giving guidance? Can you talk about the growth from market share gains versus just overall increase in capital intensity? How are you thinking about going forward?
Tim Stultz : I was thinking about it in three ways. The first one is what's the bate of the industry, what are the stunt patterns are going to look like, which rising tide generally raises all those. The second one is market share gains. And third is that secular growth that will benefit us. So we will put aside the spending patterns of the industry because the smarter people are trying to figure that one out. I think that we have a lot of opportunity to continue to gain market share. We’ve got our foot in the door on couple of new accounts, we’re very pleased with, but we don’t have the position in those accounts as strongly, we don’t hold positions quite as strongly as we have in the advanced logic and memory. And we really look forward to gaining more market share and give greater participation in the foundry business itself longer term. And then the second thing is that we have some nice and incremental contributions coming from the advanced packaging in UniFire, which we’ve been working for a quite a while, that should be incremental to the business and taken a bit of that market share and the integrated metrology which is also incremental. So our focus generally is the only way we can meaningfully outperform the industry is to gain market share and also in concert with that expand our footprint in a key account. And we just count on the spending patterns just to give us a little boost.
Josh Baribeau - Canaccord: Right and then sorry, Ron, one last one for me. I missed the mix of automated versus integrated in the quarter would you mind just repeating that?
Ronald Kisling: Automated tool revenue was 68% of total revenues and integrated was 7% of total revenues.
Josh Baribeau - Canaccord: Great, thank you. I’ll jump back in.
Operator: [Operator Instructions]. Our next question comes from the line of Graham Tanaka with Tanaka Capital. Your line is open.
Graham Tanaka - Tanaka Capital: Hi, guys. Congratulations. If we just get a base feel for the market share as best you could guess for the last year now that’s in just we can sort of gauge what the growth might be for this year? Thanks.
Tim Stultz : So, I don’t know what the market share [indiscernible] Graham. Thanks for finding it. Thanks for the comment. We are confident that we have gained market share in the foundry business since we had almost none. We are confident we’ve gained market share in the integrated metrology because there are some slots and applications that we didn’t have before. And those are probably two most prevalent areas where meaningful and quantifiable market share has occurred. But we don’t have all the numbers from earlier accounts and how they account for their spending for me to give you an accurate number. I believe that, I still believe that we start leadership in OCD technology across the Board.
Graham Tanaka - Tanaka Capital: I didn’t hear, one of the other guys was asking, what percent lift you might get relative to whatever the industry CapEx gains are, equipment spends are? So say if equipment spend is up 10% would you expect through market share gains to get more like a 20% or 30% or bigger than that?
Ronald Kisling: Well, I think the way I was trying to respond to those, the lift is actually a smaller percentage of what’s going to drive our revenues in market share gains and the contribution of the new businesses. The contributions in foundry are if you look at the incremental revenues that we will begin reporting on the foundry side of it as it starts crossing the 10% threshold are going to be dramatically overwhelmed any changes in actual spending year-on-year whereas current forecast on wafer fab equipment spending is only up 10%. Our outlook in our quarterly growth and our growth rates are substantially above that and naturally driven a market share and then the contribution of those other products.
Operator: [Operator Instructions] And I’m now showing any further questions, at this time, I would like to turn the call back over to Timothy Stultz for closing remarks.
Tim Stultz: Well, thank you once again for participating in our call. And as always I’d like to point out that the credit for all we do well belongs entirely to the outstanding team of Nano employees and Nano business partners whose talent, energies, and creativity help us successfully compete in a challenging and high competitive industry. We look forward to reporting on the results of our operational financial performance for the first quarter in April. And with that we conclude our conference call today.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This does conclude the program and you may all disconnect. Everyone have a good day.